Operator: Welcome to the Clear Channel Outdoor Holdings, Inc. Second Quarter 2025 Earnings Conference Call and Webcast. [Operator Instructions] Also, as a reminder, this conference is being recorded today. If you have any objections, please disconnect at this time. It's now my pleasure to turn the call over to Alex Winkelman, Vice President, Legal. Alex, please go ahead.
Alex Winkelman: Good morning, and thank you for joining our call. On the call today are Scott Wells, our CEO; and David Sailer, our CFO. They will provide an overview of the second quarter 2025 operating performance of Clear Channel Outdoor Holdings, Inc. We recommend you download the second quarter 2025 earnings presentation located in the Financial Information section of our Investor Relations website and review that presentation during this call. After an introduction and a review of our results, we'll open the line for questions. Before we begin, I'd like to remind everyone that during this call, we may make forward-looking statements regarding the company, including statements about its future financial performance and its strategic goals. All forward-looking statements involve risks and uncertainties, and there can be no assurance that management's expectations, beliefs or projections will be achieved or that actual results will not differ from expectations. Please review the statements of risks contained in our earnings press release and our filings with the SEC. During today's call, we will also refer to certain measures that do not conform to generally accepted accounting principles. We provide schedules that reconcile these non-GAAP measures with our reported results on a GAAP basis as part of the earnings presentation. When reviewing our earnings presentation, it is important to reiterate that all European and Latin American operations are reported as discontinued operations for all periods presented. This includes our current businesses in Spain and Brazil as well as our former businesses in Mexico, Chile and Peru, which were sold on February 5, 2025, and our former Europe-North segment, which was sold on March 31, 2025. The reported consolidated results include the America and Airports segments in Singapore. Also, please note that the information provided on this call speaks only to management's views as of today, August 5, 2025, and may no longer be accurate at the time of a replay. Please see Slide 4 in the earnings presentation, and I will now turn the call over to Scott.
Scott R. Wells: Good morning, everyone, and thank you for taking the time to join us today. During the second quarter, we delivered solid financial results within our guidance range and continue to make good progress in executing on our strategic plan. Our transition into a U.S.-focused organization has allowed us to direct our attention to maximizing ROI from our digital footprint, data analytics resources and sales force to scale our business and increase cash generation. Our outlook remains positive, and we expect a good second half of the year, attesting to the strength of out-of-home advertising and our leadership in innovating and driving the digital transformation of our industry. Turning to our results. On a consolidated basis, we generated revenue of $402.8 million during the second quarter, representing an increase of 7%. Our Americas segment delivered record second quarter revenue of $303.1 million, representing a year-over-year increase of 4.4%, driven by strength in digital and local sales as well as the planned ramp up in the MTA roadside billboard contract. We saw growth across the majority of our markets with continued strength in San Francisco as we benefit from the recovery in the market and the surge in AI-related investments. And Airports delivered a 15.6% increase in revenue for the second quarter, a record of $99.7 million, a substantial gain compared to a strong performance in the prior year comparable period. Categories that continue to perform well across the company include business services, technology, banking and insurance. In addition to our financial results, we also took some important capital structure actions during Q2 and shortly after, extending both our cash flow revolver and asset-backed credit line to June 2030, refinancing approximately 40% of our debt maturities in 2 tranches of senior secured notes to 2031 and 2033 with our nearest maturity now in 2028 and continuing to buy back senior notes. Thus far, our buybacks have reduced our annual interest by $17.5 million, generating a yield of 12.4%. Through the refinancing and the debt buybacks, we have maintained essentially flat cash interest, and this does not include interest savings of approximately $28 million from the prepayment of the CCIBV term loans. Dave will dive a little deeper on this in his section. Now let me talk a bit more about the future and how we are continuing to leverage technology to make our medium more compelling to advertisers. We are now in the process of rolling out our In-Flight Insights campaign attribution solution. We have been testing this technology for a couple of years, and we're now ready to arm our company-wide sales force with this groundbreaking tool. The tool allows brands to assess the impact of their out-of-home campaigns while they are still alive with previously unavailable insights into audience visits in a privacy-conscious way. These insights allow customers to evaluate ways to optimize their out-of-home campaign performance to drive more store traffic. As we expand access to this solution, we're finding that consumers travel much farther than expected after seeing an out-of-home ad. This is key as it underscores the influence of our platform on much larger audiences well beyond a specific geographic location. In a world of declining search efficacy, we believe our physical presence is a distinct advantage. A great example of the scale benefit is our progress with the pharma category, where recent campaigns have been executed across a wide swath of our markets. We are demonstrating success in reaching targeted audiences at scale, selling audiences more than locations. Our vertical sales force has been invaluable in this regard as they leverage their relationships and sector knowledge to educate advertisers on the scope of our reach and impact. So we've made substantial progress in developing what is now a very dynamic, addressable and measurable platform integrated with the broader digital advertising world. This is demonstrated by the results of our recently released 5-year study of data with market research leader, Kantar, which demonstrated that out-of-home advertising outperformed CTV and digital channels in key metrics such as ad awareness, brand favorability and purchase intent. Among the positive findings, out-of-home delivers over a 13% lift in ad awareness, surpassing even linear TV, confirming it as a powerful solution for reaching audiences at scale. The study validates our strategic investment in innovation and attribution via platforms like CCO RADARProof that position our company as the industry's most measurement forward media partner. As I noted, our business remains healthy entering the second half of the year, and we are reiterating the midpoint of our consolidated revenue and adjusted EBITDA guidance for the year. We are confident as we now have nearly 90% of our Q3 revenue guidance under contract and our business pipeline remains solid. We called a strong second half when we gave full year guidance in February, and we are seeing that come in. With regard to our remaining business sales, we still expect to close the sale of our business in Brazil this year, and the sale process for our business in Spain is ongoing. As we complete these transactions, we are deep in the process of zero-based budgeting, and we'll share details on that work at our Investor Day on September 9. Summing it up, we're feeling good about the remainder of the year and more importantly, the direction we're headed longer term as we confidently execute on our plan and work to enhance shareholder value. And with that, I'll hand the call over to Dave.
David J. Sailer: Thanks, Scott. Please see Slide 5 for an overview of our results. The amounts I refer to are for the second quarter of 2025, and the percent changes are second quarter 2025 compared to the second quarter of 2024, unless otherwise noted. Consolidated revenue for the quarter was $402.8 million, a 7% increase, which was in line with our guidance. Income from continuing operations was $6.3 million. Adjusted EBITDA for the quarter was $128.6 million, up 7.7%, driven in part by strong digital revenue and local sales performance across both segments. AFFO was $27.8 million, up 75.9% [indiscernible] within our expectations. On to Slide 6 for the Americas segment second quarter results. America revenue was $303.1 million, up 4.4%, in line with guidance. The increase was primarily driven by digital revenue, which was up 11.1%, the MTA roadside billboard contract and continued improvement in the San Francisco Bay Area. Local sales were up 7.4% and national sales were down 1% on a comparable basis. This is the 17th consecutive quarter local has grown year-over-year. Segment adjusted EBITDA was $127.6 million, up 0.5% with a segment adjusted EBITDA margin of 42.1%, impacted by the ramp up in site lease expense primarily related to the MTA contract. Please see Slide 7 for a review of the second quarter results for Airports. I'm pleased to say Airports has delivered another terrific quarter with revenue of $99.7 million, up 15.6%, outperforming our second quarter guidance. The increase was driven by strong performance across both sales channels with national sales up 15.4% and local sales up 15.9% on a comparable basis. Segment adjusted EBITDA was $24.3 million, up 27.6% with a segment adjusted EBITDA margin of 24.4%, driven by revenue growth. Moving on to Slide 8. CapEx totaled $12.8 million in the second quarter, down 21.4%, driven by lower digital spend and less contractual spend on shelters. Now on to Slide 9. We ended the quarter with liquidity of $351 million, which includes $139 million of cash and $212 million available under the revolvers. This strong liquidity position complements the various balance sheet initiatives we have taken just prior to and since our last earnings call. With the proceeds from the sale of our international businesses and cash on hand, we prepaid the $375 million of CCIBV term loans and repurchased approximately $230 million aggregate principal amount of outstanding senior notes in the open market. At the end of the second quarter, we amended our revolving credit facilities to extend maturities through June 2030. And more recently, we completed a new senior secured notes offering. Investor interest in the offering was very strong, attesting to the underlying fundamentals of our business, outlook and access to the capital markets. These collective efforts have secured our access to our credit facilities through mid-2030, pushed approximately 40% of our debt maturities to 2031 and beyond, increased our weighted average maturity from 3.2 years to 4.8 years and reduced our annualized cash interest by $28 million. Our work to strengthen and derisk our maturity profile is ongoing, and we will continue to actively manage our balance sheet with the goal of ensuring we maintain flexibility while prioritizing debt reduction. Now on to Slide 10 and our guidance for the third quarter and the full year of 2025. For the third quarter, we expect our consolidated revenue to be within $395 million to $410 million, representing a 5% to 9% increase over the same period in the prior year. We expect third quarter America revenue to be within $303 million to $313 million, and Airports revenue is expected to be within $92 million to $97 million. As Scott mentioned, we are again confirming our midpoint for the consolidated full year revenue guidance and adjusted EBITDA that we provided in February. We expect full year AFFO to be within $75 million to $85 million, representing an increase of 28% to 45% over the prior year. Following the prepayment of the CCIBV term loans, the second quarter purchases of senior notes and the recent refinancings, we anticipate future annualized interest of approximately $390 million, assuming no further capital markets activity. And now let me turn the call back to Scott.
Scott R. Wells: Thanks, Dave. As we wrap up, I'd like to thank our company-wide team for their continued commitment and contributions as we build on our momentum and pursue value creation for our investors. Our more focused portfolio is giving us ever greater opportunities to connect with our frontline and amplify the things that are working. Thank you. To recap, we continue to make real progress executing on our strategic plan, and our outlook remains positive. We remain on track to deliver growth in consolidated revenue and adjusted EBITDA in the year ahead, along with significant compound growth in AFFO, putting us in a strong position to pursue debt reduction. To put a finer point on this, we expect AFFO to cover growth CapEx and also allow for excess cash available to pay down debt. We also are starting to see some movement in the marketing environment as advertisers are beginning to appreciate the value of our physical assets in a world where search performance is degrading and AI is changing the dynamic in pure digital channels. It's still early innings in this shift, but we are going to drive our message about physical presence married to digital insights hard in the months ahead. That's a great lead-in to remind you all that we will host an Investor Day on September 9, where we will give a multiyear view on our business plans and share more details on the topics about which our investors have been asking. And now let me turn the call over to the operator.
Operator: [Operator Instructions] Our first question will come from Benjamin Swinburne with Morgan Stanley.
Cameron Alan McVeigh: Can you hear me?
Scott R. Wells: Yes.
Cameron Alan McVeigh: This is Cameron McVeigh. Just had a couple. To start, Scott, as you continue to transition to a U.S.-focused business, just curious how you're thinking about the trade-off between paying down debt versus investing internally in digital boards and more of your sales force. What's the priority and if you can do both at the same time? And then secondly, yes, I wanted to ask about the current status of any future JV plans and other partnerships to increase EBITDA as I know that has come up in the past.
Scott R. Wells: Thanks, Cameron. I'm going to start on your first question and then see if Dave wants to fill anything in on it since you directed it to me. But the trade-off, I mean, this is in every business, a consideration. Obviously, one that's 10x levered, the paying down of debt has a value that is greater than a less levered company. But we are very mindful of continuing to invest in our asset base continue to drive conversions. It's obviously one of the key underpinnings of our growth strategy. So investing in innovation for the sales force, investing in things that make us more effective, investing in insights and research that let us tap new parts of the marketplace, new verticals. All of those things are things that we're going to do. And as we get that growth, we will then use that to pay down debt. I mean I think one of the things that everyone needs to remember, and I know many of our investors are acutely aware of this is that at 4% when you're not onboarding a big contract, but at 4%, you get some operating leverage. At 6%, this is revenue growth, you get a lot of operating leverage. And so it is incredibly important for us to be driving particularly the America part of the business for that 6% growth level. Not saying we're going to get that routinely, not saying that, that's easy. But that is incredibly important overall because that operating leverage is then what gives you the AFFO that ultimately lets you pay down debt. Dave, what else would you add to that dynamic?
David J. Sailer: No, I think you have it covered. I mean I don't look at it as a trade-off. I look at it as a balance and you have to do both. And I want to be clear, paying down debt is an absolute priority. But what Scott mentioned is we're absolutely going to invest in the business. We're going to invest in digital. We have to grow the top line by investing in the top line, we'll be able to pay down debt. So to me, it goes hand-in-hand as opposed to a trade-off when I'm thinking of paying down debt versus investment.
Scott R. Wells: Great. And then on the second part, Cameron, I think we've done enough deal-related question answering over the last 3 years as we've divested markets for you to know that we're going to tell you just as soon as we have news. Really, all I would tell you is that the dialogues are ongoing. We are looking into creative commercial solutions broadly. And we will absolutely share good news as we have it, but there's nothing to report right now.
Operator: Our next question will come from Avi Steiner with JPMorgan.
Avraham Steiner: A couple of questions here. So first off, knowing that nearly 90% of the third quarter revenue guide is under contract is definitely very helpful, particularly given some thoughts around the ad environment here. Curious how that contracted amount compares maybe to prior years at this time? And just given we're here in early August, does that suggest -- I'm not trying to put you on the spot here, but does that suggest potential upside? And then I've got a couple more.
Scott R. Wells: Thanks, Avi. Yes, you got a shiny new metric and I need to unpack it. I'm amazed that we got to the second question before we got on this. So I think what -- the way I would characterize it is it's plus or minus a few percent, pretty typical where we would be at this stage in the quarter. We're a month into Q3. And so I would not take it as -- certainly, it's not a sign of weakness, but I don't think that you should think that we like sandbagged our guidance. I think our guidance takes into account that 90%. And on the more broad ad environment question that is posed, I think we have seen things perk up as we got into the latter part of June and into July in a way that has been encouraging for how the second half is going to come in.
Avraham Steiner: Terrific. My second question here, the In-Flight Insights campaign attribution rollout that you talked about, is that Clear Channel specific? And if it is, maybe talk about how that compares to what some of your competitors are doing, if you could? And relatedly, would it make sense maybe for the industry to get together to offer something like this as a whole to drive continued share gain from other mediums? And then I have one more.
Scott R. Wells: So In-Flight Insights is specific to us. There are variations on measurement that our competitors are offering. And certainly, in the programmatic channel, there is some reporting that DSPs offer, but I think we've got a leg up in terms of the timeliness of the information flow. The challenge with out-of-home historically has been the lag from the data reporting. And with In-Flight Insights, we have made that quite tight. We do, as an industry, do a lot of work together on measurement. And I think over time, it would be beneficial for the industry to standardize on things, but there are significant disagreements among the different players about what the appropriate level of investment is, what the priority should be. Any time that you get a lot of entities involved working on things, it's challenging. So our view is that we try to get things that are like core accounts done at an industry level because that's something that it's important that everybody is sort of on the same level. And you're seeing this in retail media right now. I don't think there's a day that goes by that there's not a discussion of the fact that every retailer has a different measurement system and gee, isn't that frustrating. So it will be interesting how those players, some of whom are very large and opinionated work it out in their space. We're not as large, but I suspect we're probably similarly opinionated in the outdoor space. So I think you'll see us continue to work as an industry on things that support the industry as a whole. But I think you'll also see us all work to innovate and drive individual enhancements that will ultimately do good things. I think the second half of this year, you're going to see pharmaceutical move money in the outdoor industry at a broader level than you've seen in the past. And I'm definitely going to take a victory lap on that one and expect to drink from my fellow CEOs because of the work that we've done to bring that category in and now the agencies are working to broaden the footprint that it's covering. So we are an industry of frenemies. We definitely all watch what each other are doing. I think In-Flight Insights is something that is going to be helpful to us in the near term, but I'm sure that our competitors will come up with innovations to help drive the industry forward, too.
Avraham Steiner: Great. My last one, just on the balance sheet. You guys did a great job moving front-end maturities. Just curious how you're thinking about next steps here and maybe addressing the unsecured, obviously, EBITDA growth, Scott that you touched on free cash flow plus remaining asset sale proceeds. But I'm curious maybe if you want to talk a little bit about the toolkit. I don't know that you will. And then relatedly, Dave, if you could just remind us your minimum cash balance comfort level.
David J. Sailer: Sure. Look, I appreciate the call out on the maturities. I think we're really happy with the deal that we did in pushing out maturities, $2 billion out to 2031 and 2033 with our weighted average of roughly 4.8 years. So very happy with that. As far as the senior notes, I mean, look, we're going to be generating free cash flow. So I think it's a combination of generating free cash flow. To your question, excess cash on the balance sheet, utilizing to pay them down. And then also, we have asset sale proceeds that will be coming in. Obviously, we talked about Brazil. The Spain process is ongoing. We're going to utilize those to pay down debt within what our credit docs allow for. I mean, I guess going back to your question on cash balances. And I think we mentioned before, we're probably in the $50 million to $75 million range debt balance. So right there, there's cash that we can utilize as well. And then one last lever that Scott has talked about a lot is we're still evaluating potential creative commercial solutions. So that could be a lever to us as well.
Operator: Our next question will come from Jonnathan Navarrete with TD Cowen.
Jonnathan A. Navarrete: My first question is on America. Revenue grew 4%, but segment EBITDA was flat year-over-year, implying some margin compression there. Beyond the MTA side lease ramp, what were the other cost pressures impacting flow-through this quarter, if at all? And should we expect similar dynamics in the second half?
David J. Sailer: I'll take that. The NTA is really the majority of it we've talked about in the past. And that contract started November 1 of last year. So you're going to see that as we get into the fourth quarter as well in the third quarter. So that's definitely having the biggest impact. The only other thing I'd probably mention, which was in the second quarter, we built a large format sign, which is production revenue. It's lower margin. So when you put those 2 together, that's really what's driving it in the second quarter. But there's really nothing systemic or something going forward that I'd point out. It's really the NTA, and we'll lap that contract as we get into November and I think December into next year, you'll see the margin benefit of that contract.
Jonnathan A. Navarrete: Got it. And my last one is just you reiterated the financial '25 adjusted EBITDA guidance. But just given the $395 million of cash interest, are you at all confident that you can generate the free cash flow positive this year? And if so, what levers do you find most critical?
David J. Sailer: No. I mean -- yes, so the answer to that would be yes. Look, the biggest thing is really is EBITDA. So we really need to drive the top line to drive EBITDA, which is going to go through the AFFO to cash flow. I mean, I would talk to working capital to a certain standpoint. I mean it's more on the collection side, just making sure we're collecting the revenue that we're driving, that's probably a big deal. You mentioned CapEx. I'd say, look, we're going to manage, as I said earlier in the call, we're going to invest in the business that makes sense. You got to drive investment to drive the top line, drive EBITDA. So there's always a balance there. But to me, it's not going to be a huge lever when I'm looking to drive free cash flow for the year.
Operator: Our next question will come from Aaron Watts with Deutsche Bank.
Aaron Lee Watts: Dave, I'll assume the switch to this new Zoom call format accrues to the bottom line, and we'll be adjusting my model accordingly. Just 2 questions for me. The first one, sales in the Airports segment have obviously been quite strong. But I wanted to ask about the margins there, which continue to remain elevated above where we thought they might trend to. What factors would you point to that are propping them up? And how should we think about the progression on Airport margins going forward? Then I've got one more.
David J. Sailer: I mean, look, the top line has been great on Airports, and that's obviously helping. We've talked about the site lease relief, we actually a little bit trickled in, in the second quarter, which is helping margins. The remainder of this year, third and fourth quarter, they're going to be in the low-20% from a margin standpoint. Look, I think the team has done a really nice job monetizing our assets. It's a premium buy, a lot of the verticals, banking, technology have performed extremely well. We were up in the second quarter last year pretty well, and we've lapped that. So the team has performed. So when I'm thinking about margins in the business, for the back half of this year, we're going to be in the low-20%.
Aaron Lee Watts: Okay. That's helpful. And then, Dave, perhaps more of a housekeeping type question. But with regards to the Big Beautiful Bill, will any of the changes in there benefit the company materially from a cash flow standpoint, whether it's interest deductibility or tax depreciation considerations?
David J. Sailer: Yes. I think you answered the question for me. It's not a huge impact for us. And obviously, we're still working through Big Beautiful Bill. But a lot of it is going to be -- there'll be a little bit more from an interest standpoint when we file the 163(j), so that will increase slightly. And from a depreciation standpoint, they're obviously phasing out what you can depreciate and that goes back to 100%. So that absolutely will have an impact from a cash standpoint really on taxes. We're not really a material taxpayer. It will help, but it's not a huge deal at the moment.
Operator: Our next question will come from David Karnovsky with JPMorgan.
David Karnovsky: Just within America, Q2 growth for local looks -- can you hear me?
Scott R. Wells: Yes.
Alex Winkelman: Yes, it's cross talks there.
David Karnovsky: Yes, sir. Yes, sure. No, I was just saying for the second quarter, local looks notably better than national. Scott, I don't know if you could just talk to kind of how local versus national marketers are kind of or have responded to the macro volatility we've seen. And then just for America, the revenue was a touch short of the midpoint of the guide you gave back from May. Maybe you can just talk to what tracked different from expectation and then some of the factors that led you to reduce the full year America guide to, I think, the prior low end?
Scott R. Wells: Sure. Well, I'm going to take your second part first. And really, that was a timing issue of a large contract that we thought was going to start in May that ended up starting in very late June. And that would have pushed us well toward the upper end of the guide from May. And that happens. It was an account that is in transition at its agency and it just -- they had a little longer ramp getting going. So there's nothing deeper behind it. And it was a national account. So that also would have pushed us to a better national number for America. On your question on mix of national and local and what's going on, I think the thing I'd start with is, if we didn't break out America and Airports, what we would have reported was national up 4.5%. That's what the blend between the Americas segment and the Airports segment is in national. And Dave talked a little bit about some of the verticals and some of the momentum in Airports. But I think it is not the case that there's anything I'd point to saying that national is endemically weaker than local or it's more chunky and it's less predictable than local. But obviously, we are having tremendous success with large advertisers in the airport segment, and we're having pretty good success with them in the national segment in America. And there probably was a stretch in the kind of late May, early mid-June, where there were some lag effects, I think, for Liberation Day, although, frankly, it might have just been this one contract that I talked about not showing up that we thought was going to show up that was causing us to perceive it. But we really haven't heard from advertisers generally that they're considering pullback or that they are pulling back. On the contrary, people are looking to invest in their businesses. If I think about it at the vertical level, probably media and entertainment has been a bit of a disappointment this year. That has not been commensurate with the slate of releases that we expected. That probably hasn't been as good. On the local front, restaurants and hotels, although hotels sort of straddle, both of them straddle local and national, but a lot of business in restaurants and hotels is local national. Those verticals are not doing as well. And I think some of the reduction in travelers from foreign countries and things like that, although there has been an uplift in domestic travel. So there's a lot of competing factors going on. But I think the story of our results so far correlates more with the geographies. And in the case with Airports, it's the geographies that are the big geographies, the big airports. The big airports are by and large, with a couple of exceptions, firing on all cylinders. And in the markets, the America markets, the Northeast, but that is heavily influenced by the NPA contract. The Northeast is performing really well. NorCal, like we talked about in San Francisco is performing really well. Southeast is performing really well. So there are pockets of geographic strength. And if I have a lot of employees that listen to this earnings call, I'm just going to like send a PSA to them that if you're not one of the regions that I just named, you should expect that you're going to be getting some attention because we need to pick it up and have -- and it's not that the other regions aren't growing. It's just the other regions might not be growing as much or in the case of Southern California, we're flattish to a little bit down for the year, and we need to pick that up. So that, to me, is a lot more of the story than the national local story. I don't know, Dave, if you're experiencing different or.
David J. Sailer: No, no, I agree. When I'm thinking about the business from a revenue standpoint, I'm looking at it from a geographic standpoint and kind of where we are in the second quarter, there are a lot more markets that are up than are down and the ones that are up are performing at a greater pace. But yes, there are a few markets that you kind of mentioned from a geographic standpoint that we need to get those to growth, and that's really where you get those growing and that goes back to the question on investing in the business and when you get that top line growing, that's the cycle and that's what we want to get to. So we're investing in the business, and we're paying down debt at the same time.
Scott R. Wells: So a little more than the market for our interest, but since nobody else has asked about the geography or anything, I wanted to give a little color on that because I know that our investors are all very interested in that.
David Karnovsky: No, that's fine. Maybe just one more for David. I don't know if you could just clarify on the lower AFFO guide and the driver there, just given the reiterated EBITDA would be helpful.
David J. Sailer: Yes. I mean we're still -- I would say, from an AFFO stand, we're still in line with what we said in February, maybe slightly above. It's really the refinancing that we did in July, you're amortizing the interest expense. So that's really what's driving that difference, nothing more than that.
Operator: Our last question will come from Patrick Sholl with Barrington Research.
Patrick William Sholl: Just another question that I think might be timing related. But can you maybe talk about like the revision on the capital expenditure guidance? Is that that should be impacting the pace of digital board installs in the near term? Or just how to think about that.
Scott R. Wells: No. Look, from a CapEx, from a guide standpoint, we had less contractual spend on some of our shelter deals, which was driving second quarter a little bit later in the year. From a timing standpoint, there's a little bit of timing. I mean you had mentioned tariffs as well, that's not really an impact. But at the end of the day, we're going to put in the ground, the amount of digital that we start out at the beginning of the year. But then maybe a few more managed spaces, which are a little bit cheaper and that's going to drive a little bit from a CapEx savings, but it's not an initiative where we're trying to push out our digital spend. It's really more from a timing standpoint and really when you're looking at your pipeline, how they're playing out for the year. But we're going to be putting in the allotment that we had sought out early in the year from a digital standpoint.
Patrick William Sholl: Okay. And then this may go to the large national client you talked about it earlier. But could you talk about like the different -- the trends within static? And I realize that it improved sequentially in both the Americas and Airports. But can you just maybe talk about like why that kind of continues to be lagging in the second quarter in terms of the pace of growth? And just with the in-flight, how you maybe anticipate that impacting advertiser uptake on static versus digital as you start presenting that to advertiser clients?
Scott R. Wells: So the static versus digital is a many year -- you should -- with the capital that you're putting behind digital, you should expect that digital is going to be growing better than static. And I think that the fact that we have grown static as much as we have over the last bunch of years defies a lot of the conventional wisdom on that. But it is just a fact that advertisers really like the flexibility of digital. They like the fact that you can say you want a campaign to start on Friday, on Thursday and the campaign can be up and active. They like a logistically simpler implementation where they don't have to go through all of the steps. But I think equally as well, we have a lot of advertisers that are very passionate about their static signs. And they're somewhat different use cases. Static is a more powerful tool when you're doing a directional static can be an incredibly powerful tool going to the most extreme static, which is painted when you're trying to make a statement on an iconic location. So there are gives and takes. But I would say just in general, and you see this in our Airports business, as you make digital more available, you are able to do creative and interesting things with digital to grow the business. And so I think it is in the interest of the advertiser as well as the media owner to have a robust digital offer. This is why the cities that are still resistant on having digital signs are so frustrating because they're holding back the development of our medium by not allowing us to have a digital presence. But as I say that and I talk about the preference, I'd be very remiss if I didn't say that there were equally a number of advertisers that are very passionate about owning locations, not sharing and getting the really, really great resolution you can get on a printed asset. So I think you're going to see -- I guess, to wrap it up, Patrick, the thing I'd say is you're going to see that digital is going to likely systemically outperform static, but better given the relative capital that we're putting into digital.
Operator: There are no more questions. So I will now turn the call back over to Scott Wells for any closing remarks.
Scott R. Wells: Great. Thank you very much, and thank you all for the questions. Look, we're turning a big corner this year with asset sales to date and in process, debt reduction and refinancing, all combined with organic growth in the U.S. business, we're generating positive and growing AFFO after investing for growth in the business. As we streamline costs in the simplified business and ramp that MTA contract, I would expect that revenue growth from this going forward is going to drive operating leverage and visibly operating leverage in 2026. We're dedicated to realizing value from the premier portfolio of assets that we operate, and we believe we're well on our way to improving our highly leveraged balance sheet. So all of that to say that we believe the value transfer from debt to equity is inevitable and compelling in this business. We see it out on the horizon. I've been in this industry a long time, and I know these assets are worth a lot. So given the trends that we're starting to see around the value of our physical presence, we are excited about what lies ahead. This management team and Board are focused on realizing the value for all of our shareholders, and I'm proud of the progress we're making. All of this to say, get yourselves here in New York for our Investor Day on September 9 because we are excited to tell you about our long- and mid-term plans. And with that, we'll wrap up, and I'll thank you for your interest and your time. Take care.
Operator: Thank you for joining Clear Channel Outdoor Second Quarter 2025 Earnings Call. This concludes today's call. You may now disconnect.